Operator:
William R Berkley:
Rob Berkley:
William R Berkley:
Gene Ballard:
William R Berkley: So with that I’m happy to take any questions, and we are all sitting here and we’ll be pleased to answer any of your questions. So with that I’m happy to take any questions, and we are all sitting here and we’ll be pleased to answer any of your questions. So with that I’m happy to take any questions, and we are all sitting here and we’ll be pleased to answer any of your questions. So with that I’m happy to take any questions, and we are all sitting here and we’ll be pleased to answer any of your questions. So with that I’m happy to take any questions, and we are all sitting here and we’ll be pleased to answer any of your questions. So with that I’m happy to take any questions, and we are all sitting here and we’ll be pleased to answer any of your questions.
Operator:
Kevin Walsh – Citi:
Gene Ballard: Yeah, it’s around $1.2 billion to $1.3 billion each year, in 2011 and ‘12, that would be rolling off and maturing.
William R Berkley:
Kevin Walsh – Citi: And roughly what’s the gap between the portfolio yield and the new money rate today that you’re seeing?
William R Berkley: I would guess that we’re probably talking about 0.5%, maybe 0.75%.
Kevin Walsh – Citi:
Kevin Walsh – Citi:
Rob Berkley:
William R Berkley:
Kevin Walsh – Citi: Okay, thank you very much.
Operator: Our next question comes from the line of Josh Shanker from Deutsche Bank.
Josh Shanker – Deutsche Bank:
William R Berkley:
Josh Shanker – Deutsche Bank: In terms of equilibrium, what would be causing admitted carriers to be behaving more responsibly if they haven’t yet seen losses?
William R Berkley:
Rob Berkley: I think you covered it unless Josh had a further question.
Josh Shanker – Deutsche Bank: The only thing, is there any rule of thumb we can use to think about pricing between business – how it’s priced in the admitted market versus how it’s priced in the ENS market?
Rob Berkley: Well clearly historically the non-admitted market or the ENS market has had more robust rates and perhaps as if not more important, their terms and conditions are such that it translates into perhaps a better all-in effective rate.
Josh Shanker – Deutsche Bank: It’s difficult to quantify.
Rob Berkley:
Josh Shanker – Deutsche Bank: Yep, alright.
William R Berkley:
Josh Shanker – Deutsche Bank:
Operator: Our next question comes from the line of Vinay Misquith from Credit Suisse.
Vinay Misquith – Credit Suisse:
Rob Berkley:
William R Berkley:
Vinay Misquith – Credit Suisse: And then the new business that you’re getting, would it be fair to say some of it is coming from the old companies that are staying with and some of it is coming from the new companies?
Rob Berkley:
William R Berkley:
Vinay Misquith – Credit Suisse:
William R Berkley:
Vinay Misquith – Credit Suisse: Okay, thank you.
Operator: Our next question comes from Ken Billingsley with BGB Securities.
Ken Billingsley – BGB Securities:
William R Berkley: Can you speak a little louder, Ken?
Ken Billingsley – BGB Securities: Yes, can you hear me okay now?
William R Berkley:
Ken Billingsley – BGB Securities:
Gene Ballard: Yeah, $51 million.
Ken Billingsley – BGB Securities:
Gene Ballard:
Ken Billingsley – BGB Securities:
William R Berkley:
Rob Berkley:
William R Berkley:
Ken Billingsley – BGB Securities:
Rob Berkley:
William R Berkley:
Ken Billingsley – BGB Securities:
William R Berkley:
Ken Billingsley – BGB Securities: Great, congratulations on the quarter. William R Berkley – Thank you.
Operator: Our next question comes from Doug McGregor of RBC Capital Markets.
Doug McGregor – RBC Capital Markets:
Rob Berkley:
Doug McGregor – RBC Capital Markets:
Rob Berkley:
William R Berkley:
Doug McGregor – RBC Capital Markets:
William R Berkley:
Doug McGregor – RBC Capital Markets:
Operator: Our next question comes from Greg Locraft with Morgan Stanley.
Greg Locraft – Morgan Stanley:
William R Berkley:
Greg Locraft – Morgan Stanley:
William R Berkley: Well since you’ve already decided what it is you’ve answered your question for yourself, there’s no sense in me responding.
Greg Locraft – Morgan Stanley:
Rob Berkley: Yeah, 11% is not anywhere near a high for that.
Greg Locraft – Morgan Stanley:
William R Berkley:
Greg Locraft – Morgan Stanley:
Operator: Our next question comes from Jay Cohen from Bank of America.
Jay Cohen – Bank of America:
William R Berkley: Yes.
Jay Cohen – Bank of America: Okay.
William R Berkley: And it also says that probably one would think that any takedowns probably are somewhat offset by caution in the current years.
Jay Cohen – Bank of America: I guess you also have the other issue of prices that have been going down, so that would obviously put some upward pressure on that pick, too.
William R Berkley:
Jay Cohen – Bank of America:
William R Berkley:
Jay Cohen – Bank of America: Any exposure to the New Zealand earthquake?
William R Berkley: Nothing of any consequence.
Jay Cohen – Bank of America:
Operator: Our next question comes from Meyer Shields with Stifel Nicolaus.
Meyer Shields – Stifel Nicolaus:
William R Berkley:
Meyer Shields – Stifel Nicolaus:
William R Berkley:
Meyer Shields – Stifel Nicolaus:
Operator: Our next question comes from Bob Farnum at Keefe, Bruyette & Woods.
Bob Farnum – Keefe, Bruyette & Woods:
William R Berkley: Yes, sir.
Bob Farnum – Keefe, Bruyette & Woods:
William R Berkley:
Bob Farnum – Keefe, Bruyette & Woods:
William R Berkley: I won’t say we’ll be a very different company but it’s certainly an issue that I take seriously and we will have to give consideration to that, because yes – I believe ultimately the cost of capital is a long-term driver of companies’ abilities to survive.
Bob Farnum – Keefe, Bruyette & Woods:
William R Berkley:
Bob Farnum – Keefe, Bruyette & Woods: So not much different than your current, your domestic book.
William R Berkley:
Bob Farnum – Keefe, Bruyette & Woods:
Operator: Our next question comes from Larry Greenberg with Langen McAlenney.
Larry Greenberg – Langen McAlenney:
William R Berkley:
Larry Greenberg – Langen McAlenney: Interesting, thank you.
Operator: Our next question comes from Connie Deboever at The Boston Company.
Connie Deboever – The Boston Company:
William R Berkley:
Connie Deboever – The Boston Company: Understood, thank you.
Operator: And sir, I’m showing no further questions in the queue.
William R Berkley:
Operator:
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!